Alberto Valdes: Good morning, everyone. I'm Alberto Valdes, Head of Investor Relations. Welcome to our full year 2025 results presentation. Before we begin, I would like to draw your attention to the disclaimer regarding forward-looking statements on Slide 2. Today's discussion will include certain projections and non-IFRS metrics that provide a clear view of our underlying performance. Today's presentation will be led by Martin Tolcachir, our Group CEO; and Guillaume Gras, our Group CFO. After their remarks, we'll open the floor for a Q&A session. I'll now hand things over to Martin. Martin, the floor is yours.
Martin Tolcachir: Thank you, Alberto, and good morning, everyone. I am proud to present what I believe are truly excellent results achieved in the first year of our Growing every day strategic plan. Looking at the outline on Slide 4, our story today rests on 5 key pillars. Dia Spain is not just on track, it is accelerating the delivery of our strategic plan, and we are now significantly outperforming the market. Dia Argentina has stabilized. After a resilient second half, we are now well positioned to capitalize on the recovery in food consumption expect from 2026 onwards. Dia Spain remains the engine of the Group's financial results, driving substantial margin expansion, multiplying net profits and generating robust cash flow. Our exceptional stock performance in 2025 validates our strong operating performance and solid prospect for profitable growth. 2025 marked a pivotal year for Dia. It was the year in which we successfully transitioned from a turnaround phase to one of sustained profitable growth. Now let's talk at this in greater detail. Let's start with Dia Spain and the accelerate delivery of our strategic plan on Slide 6. One year ago, we presented our Growing every day strategic plan, which set out 4 clear targets for leading the market in profitable growth. Our performance in the first year clearly demonstrates that we are not only on track, but exceeding delivery on these targets. We opened 94 new proximity stores, boosting total sales growth to an impressive 8.6%, more than doubling the guidance average rate and increased our adjusted EBITDA margin by 54 basis points to an impressive 6.8%. At the same time, we added to the average capital expended budget, resulting in increased returns on robust deleveraging. As you can see in the next slide, this rigorous delivery is spread across the 4 dimensions of our strategic plan. Our strong like-for-like sales growth, our expanding customer base and improving NPS score is evidence of the positive response by our customers to our improved value proposition. Meanwhile, our franchisee excellent NPS score and our inclusion among Spain's most reputable companies are more than just a source of pride. This enhanced satisfaction and reputation enables us to recruit the best talent to support our operations. Finally, our exceptional share price performance and our surge in liquidity are both powerful market endorsement of our strong results and of our enhanced investor relationship outreach. Let's now move on the main highlights of Dia Spain's operating performance, starting on Slide 8. The rate of sales growth has surged from 5.5% in 2024 to an impressive 8.6% in 2025. Our total sales in Spain reached EUR 5.5 billion. Like-for-like growth reached 7.4%, driven primarily by market-leading volume growth of 5.7%, fueled by an expanding customer base and higher frequency rates. Price inflation was just 1.6%, strategically remaining below general food and beverage inflation and highlighting our commitment to affordability. Finally, despite being in the ramp-up phase, new store contribute an additional 1.2 percentage points to our sales growth. As a result, our total sales growth strongly outperformed the market, enabling us to increase our market share by 12 basis points and consolidate our position as the fourth largest national player and absolute leader in the Proximity segment. Moving to Slide 9. You can see how our customer-centric strategy is promoting loyalty and as a result, sales growth. Our value proposition centers on quality, convenience and affordability, offering a comprehensive and innovative assortment of product and the freedom to choose from leading brands. Thanks to our commitment to quality and local sourcing, sales of fresh product increased by an impressive 15% and now represent 28% of total sales, a significant 160 basis point increase year-on-year. Similarly, our commitment to offering high-quality Dia brand product at affordable price has driven a 10% growth in this category. These products now account for 59% of our fast-moving consumer goods basket, an impressive 170 basis point increase on 2024 and is evidence of a growing base of loyal customers. Continuing on Slide 10. Loyalty sales account for an impressive 56% of gross sales in 2025, marking a 9% increase. This was driven by an increase in the number of loyalty customers and the frequency of their purchases. It is worth noting that the average purchase frequency and basket size of loyal customers is double that of the non-loyalty customers. In this context, the additional of 200,000 loyalty customers in 2025 is of a great value, bringing to -- the total to 5.8 million. The digitalization of our loyalty base continued to progress rapidly, fostered by our gamification initiatives and exclusive promotions. Currently, 58% of our loyal customers who account for 1/3 of our sales interact with us via the application. This channel is growing exceptionally well. It grew by 13% last year. This growth has been driven by double-digit growth on both our own platform and those of third-parties despite the temporary slowdown experienced by delivery platform while they adapt to the recent riders law. Our digital platform complement our proximity network perfectly, reaching 84% of the population and offering the best service level. Over 90% of the orders are delivered on the same day within a 1-hour time slot. Our digital ecosystem combines the unparalleled speed and convenience of our e-commerce platform with the intelligence of our Club Dia loyalty program. This provides customers with a personalized omnichannel experience and us an outstanding Net Promoter Score of 60 points. Turning now to Slide 11, you can see the progress of our store expansion plan. Our goal is to open 300 new proximity stores by 2029. These stores have been selected from a pool of 1,500 high potential locations identified through our proprietary analytic tool. We are giving priority to areas where we already have a strong presence, such as Madrid, Andalusia, and Castilla y Leon, to further increase our store density and improve our logistic efficiency. By focusing not only on large urban hubs, but also on smaller multi-municipalities, we can capitalize on our capital-light format and thrive in areas where large competitors are less efficient. We are now leveraging our scalable franchise model to accelerate the rollout of these select stores, boosting organic growth and share profitability. In 2025, we opened 94 proximity stores, more than offsetting 38 strategic closure and achieving a net expansion of 56 stores. Our aim is to double net openings in 2026. With over 100 net store opening, we will drive organic growth and further consolidate our position as the market leader in Proximity segment. Most of these new stores, 73% are managed by franchisees who currently represent 67% of our network. These hard-working, experienced entrepreneurs help us to bring Dia value proposition to every neighborhood. They manage the store, growing on their local knowledge while we provide infrastructure, product, logistics and service standards. This specialization ensures complete alignment of interest, maximizing productivity and profitability for both parties. The success of this model is reflected in our franchise impressive Net Promoter Score of 75 points. As shown on Slide 12, the expansion of our store is being supported by the modernization of our logistics network. By 2029, we aim to resize and renovate 6 of our 12 logistics platform, improving their service level and capturing significant operational savings. This follows the successful model of our first renovate platform in Illescas, Toledo. In 2025, we opened a second logistics center in Dos Hermanas, Sevilla and start construction of a third Leon scheduled to open in the coming months. A further 3 logistics platforms are planned for Malaga, Levante and Catalunya in 2027, '28 and 2029, respectively. These new platforms are built to the highest standard of efficiency, productivity and sustainability and enable us to optimize our operating margins. Renovating refrigeration equipment is also helping us to improve our energy efficiency and reduce our carbon footprint. To date, 68% of the logistics network and 24% of our store have been decarbonized. The next slide #13, shows our continued progress on ESG. Here, I am pleased to announce our new sustainability plan to 2029, named The Value in Every Day, which will positively impact all our stakeholders. Having successfully complete all the initiatives proposed under our previous sustainability plan by 2025, we have defined 84 new actions for the next 4 years grouped into 5 categories. Firstly, actions to improve our customer awareness of quality nutrition through strategic alliances with suppliers and nutritional experts. Secondly, action to extend our ESG training programs to all employees and strengthen our inclusive hiring and diversity targets within our meritocratic culture. Thirdly, action we will contribute to the development of urban and rural communities by sourcing locally, creating new jobs, improving accessibility and taking social actions. Fourthly, action to accelerate our decarbonization plan, lift our 0 waste and food waste prevention targets, consolidate our responsible sourcing standards and implement the DRS scheme for packaging recycling. Finally, we will further improve our reporting and disclose enhancing our ESG rating visibility and fostering customer perception and trust. Now let's turn to Argentina's operating performance on Slide 15. Dia has demonstrated resilient management by successfully navigating a challenging macroeconomic environment. The strategic measures implemented in 2025 were instrumental in stabilizing sales volume, delivering positive adjusted EBITDA and free cash flow and maintaining a robust net cash position. Firstly, we refine our product assortment to increase shelf productivity, and we implement a high-return promotion strategy supported by enhanced communication to stabilize sales volumes. Secondly, we optimize our network by closing underperforming stores, streamline in-store operation and reducing our logistic footprint to cut secondary distribution costs and restore profitability. Finally, in terms of finance, we optimize our inventory levels to free up cash and only invest in maintenance to preserve the business self-financing capacity. The success of these measures is clearly evident in our second half performance metric. Firstly, we achieved 2% like-for-like sales volume growth in the second half of the year, gaining 31 basis points in market share. Secondly, we successfully turned the margin around, moving from minus 0.5% in the first half to plus 1.3% in the second. And most importantly, we moved from a negative cash position to generating EUR 12 million in free cash flow in the second half of the year, ending with robust liquidity. As you can see on Slide 16, we believe the worst is already behind us. While the year-on-year comparison still shows a decline in like-for-like sales volumes, the sequential quarterly trend indicates clear stabilization in the second half of the year. 2026 is set to be a pivotal year for the Argentina, as you can see on the next Slide 17. The Argentinian economy is already showing positive signs with more moderate inflation, a stabilized exchange rate and a solid growth prospect for the coming years. The consolidation of Argentina macroeconomic framework and relative price stability with the bulk of fiscal adjustment now complete, should allow for a gradual but sustained recovery in the household disposable income. This will enable consumers to return to more normal food consumption patterns. In this scenario, our leading position, operational efficiency and financial discipline provide a solid foundation on which to capitalize on the expected recovery in food consumption from 2026 onwards. As you can see in the next Slide 18, our leading market position in Buenos Aires gives us a solid base from which to rebuild growth and profitability. We are the leading proximity food retailer and top-of-mind brand in the Buenos Aires region, thanks to our competitive prices, high-quality products and successful loyalty program. Our balanced assortment includes a high-quality private label, generating close to 30% of gross sales, well ahead of the market average. We offer a high-quality fresh product assortment, combined with guaranteed product availability to meet essential customer needs. Our strong value proposition results in best-in-class consumer satisfaction, as reflected by an impressive Net Promoter Score of 78 points. I will now hand you over to Guillaume, who will briefly explain our financial results.
Guillaume Gras: Thank you, Martin. Let's start with Spain's strong financial results on Slide 20, which demonstrate the effectiveness of our strategy. As mentioned earlier, gross sales increased by 8.6% to reach EUR 5.5 billion, while net sales, excluding the franchise margin and value-added tax, grew by 8.2% to reach EUR 4.6 billion. The slight difference in terms of gross and net sales growth reflects a stronger growth rate from franchise-operated stores. Our adjusted EBITDA margin increased by an impressive 54 basis points to reach 6.8%, one of the highest in our sector. This was driven by operational leverage and rigorous cost management, resulting in an 18% increase in adjusted EBITDA to reach EUR 313 million. Finally, I would like to highlight the threefold increase in our net income to EUR 166 million, including EUR 52 million from the recognition of deferred tax assets in the second half of the year. Given the positive net income achieved in the last 2 years and our robust profit forecast, we are well positioned to activate tax assets. Dia Spain still has over EUR 660 million in tax loss carryforwards pending activation. This equates to over EUR 165 million in potential future tax savings, meaning that Dia Spain's effective tax rate will remain below 20% in the medium to long-term. Excluding this tax effect, our net income would have reached EUR 114 million in 2025, doubling that to previous year. Our high profitability also led to strong free cash flow generation, totaling EUR 140 million. This resulted in a significant reduction in net debt, as you can see on Slide 21. Cash flow from operations reached EUR 301 million. This figure includes the recovery of EUR 33 million in tax refunds during the first half of the year, following the official removal of the regulatory cap on certain tax deductions. Net CapEx totaled EUR 161 million during the period, representing a 60% year-on-year increase linked to the execution of our store expansion plan. Following the refinancing of our debt in December '24, which provided the stable framework needed to execute our 5-year strategic plan, net financial payments totaled EUR 61 million. As a result, we achieved a net debt reduction of EUR 79 million. This represents a 24% decrease compared to the end of 2024, bringing the total down to EUR 251 million. You can see this on the next Slide #22. The company boasts a set of solid credit metrics. Firstly, it has a low financial leverage with an adjusted net debt-to-EBITDA ratio of just 0.8. Secondly, it has a long-term financing structure with no significant debt repayments until 2029. And thirdly, it has a solid net cash position of EUR 295 million at the end of 2025. These robust credit metrics offer ample flexibility to support accelerated growth while maintaining a low leverage profile. Now let's turn to the financial results of Dia Argentina on Slide 23. As previously mentioned, gross sales in Argentina decreased by 15% to EUR 1.5 billion, affected by a 10% decline in like-for-like sales volume and above all, by the translation effects of the 40% depreciation of the Argentine peso in 2025. Net sales mirrored the performance of gross sales, declining by 15% to EUR 1.2 billion before the application of IAS 29 accounting rules for hyperinflationary economies. These rules had negative noncash impact of EUR 104 million. It is important to reiterate that our decisive cost control and financial discipline enabled our adjusted EBITDA margin to recover by 180 basis points to reach 1.3% in the second half of the year. This resulted in a positive adjusted EBITDA and free cash flow of EUR 4 million and EUR 3 million, respectively. As you can see on Slide 24, rigorous working capital management and targeted maintenance CapEx protected our cash position throughout a challenging year. The EUR 27 million working capital inflow was driven by optimizing stock levels, unlocking trapped cash and covering targeting maintenance CapEx, which preserved Dia Argentina's net cash position, almost intact before the foreign exchange took effect. The depreciation of the Argentine peso by 40% in 2025 had a translation effect of EUR 25 million on its net cash position, which closed the year at EUR 61 million. This solid net cash position, together with our rigorous financial discipline, ensures that the business remains self-funded and ready to capitalize on Argentina's expected macroeconomic recovery. Finally, let's conclude the review of the financial results with a brief summary of the Dia Group's consolidated results from continuing operations, on Slide 25. Dia Spain continued to be the driving force behind the Group's growth and profitability. It achieved a 3% increase in consolidated gross sales, reaching EUR 7.1 billion as well as an 8% increase in adjusted EBITDA, reaching EUR 316 million. This resulted in a 30 basis point improvement in the consolidated adjusted EBITDA margin, reaching 5.4%. Notably, our consolidated net income for continued operations more than doubled to a robust EUR 115 million, excluding a EUR 14 million profit contribution from discontinued operations. This relates to the reversal of unapplied contingencies regarding the sale of the Portuguese business in 2024. Conversely, in 2024, discontinued operations contributed a loss of EUR 107 million linked to our exit from Brazil. The company is thus returning to profitability following a successful transformation process that has established its position as Spain's leading supermarket chain in the Proximity segment. It now boasts a robust and profitable business with promising prospects for growth. Finally, the Group's free cash flow reached a robust EUR 143 million. This resulted in a net debt reduction of EUR 51 million, bringing it down to EUR 190 million at the end of the year. Now I would like to draw your attention to our exceptional stock performance in 2025, as shown on Slide 27. This powerful market endorsement is a testament to our strong achievements and solid prospects for profitable growth. Dia's share price has made an extraordinary recovery, rising by 140%, while our average daily liquidity has surged fivefold and is now consistently above EUR 2 million. Our market cap grew from EUR 0.9 billion at the end of 2024 to over EUR 2.1 billion at the end of 2025, releasing EUR 1.2 billion of shareholder value. Despite this impressive performance, Dia is still trading at a discount compared to our peers. Closing this gap should increase our market cap to over EUR 2.7 billion, in line with the current analyst consensus valuation. Our share price recovery and surging liquidity reflects renewed and growing confidence from institutional investors, underpinned by our proactive investor relations outreach. Last year, we executed 14 targeted roadshows in major financial hubs and participated in 10 investor conferences, effectively presenting our new equity story to over 190 high-quality investors. We have added 2 new brokers to our sell-side coverage, and we are actively encouraging new coverage from pan-European brokers to further increase our visibility among institutional investors. We are committed to broadening our investor base and building deeper, long-standing relationships with investors, ensuring that we fulfill our value creation commitments. Now I hand you back to Martin, who will deliver his closing remarks and outlook for 2026.
Martin Tolcachir: Thank you, Guillaume. I will now conclude this presentation with some closing remarks on Slide 30 before moving on the Q&A session. The excellent results achieved in the first year of our Growing every day strategic plan validate the success of our proximity model and the strength of our customer-centric strategy. We are delivering robust volume-led like-for-like growth, significantly outperforming the market, while accelerating the rollout of our expansion plan ahead of the schedule. This operational excellence is driving a substantial expansion of margins, a twofold increase in the net income and strong cash flow generation. Looking ahead to 2026, our goals are threefold. Firstly, to maintain our position as the market leader in like-for-like growth. Secondly, to accelerate the rollout of our expansion plan with over 100 net store openings this year. And thirdly, to continue to increase our adjusted EBITDA margin. We will also continue to monitor strategic opportunities in Spain's fragmented market that could generate additional shareholder value. In any case, please note that we only view these opportunities as strictly supplementary to our core organic growth road map, and we won't allow any distraction from it. Meanwhile, Dia Argentina has demonstrated resilient management by successfully navigating a challenging macroeconomic environment. The strategic measures implemented in 2025 were instrumental in stabilizing sales volume and delivering positive adjusted EBITDA and improving free cash flow in 2025, while maintaining a robust net cash position. Our leading position, operational efficiency and financial discipline give us a solid foundation on which to capitalize on the recovery in consumption expected from this year as the macroeconomic environment normalizes. 2025 marked a pivotal year for Dia. It was the year in which we successfully transitioned from a turnaround phase to one of sustained profitable growth. With a significantly strengthened balance sheet and proven proximity strategy, we are now well placed to deliver long-term value. This transition is being increasingly validated by the financial market, as reflected in our exceptional share price performance and enhanced stock liquidity. Thank you for your attention. We are now open to your questions.
Alberto Valdes: Thank you for your attention. The Q&A session is now about to begin. To ask a question over the phone, please press the asterisk, then the number 5 on your telephone keypad. As a shareholder, you may also submit questions through the red button on your webcast screen. Once we have verified your ownership, we will answer your question. If we are unable to do so during the session, we will respond directly to your e-mail address. Questions received from analyst covering our stock will be addressed first. Thank you. All right. Here comes our first question from Alvaro Bernal at Alantra.
Alvaro Bernal: I have 3 questions, if I may, all related to the 2026 guidance. The first one is regarding sales growth. You have grown at 9% in Spain in 2025, ahead of the 4% to 6% guidance. What do you expect for 2026? If you can provide a mix on volume, price, store opening, it would be very helpful. Second one is regarding margins. You delivered a solid 6.8% margin in Spain. What do you expect for 2026? And what are the drivers of this improvement? And the last one is regarding CapEx in Spain, having in mind that you're accelerating your store opening plan to a targeted 100 net openings in 2026, what can we expect in terms of spend? That's all. Congratulations on the results.
Alberto Valdes: Thank you. Very clear questions, Alvaro. I think the first 2 are for Martin. The last one on CapEx, maybe is more suitable for Guillaume. Martin, if you're ready.
Martin Tolcachir: Sure. Thank you, Alvaro, for your question. Clearly, 2025, our sales delivered an impressive 8.6% increase, as you mentioned. This performance was built on a robust 7.4% like-for-like, basically supported by volume growth and also an initial contribution of our expansion plan that added 1.2% to the top line. So going to your question on '26, what we can share is that, what we expect is to maintain our market leadership in like-for-like growth. We really think that the value proposition that we are proposing is clearly the one is choose by customers, and we are going to keep our rhythm of like-for-like ahead of the market. On the expansion, what we expect is also overperform the growth of square meters of the Spanish market. We are targeting 100 net openings for the year, and that will also allow us to accelerate the growth again in 2026. This acceleration means that in total growth, 2026 is projected to again outperform our guidance range of 4% to 6%. On the margins, what I can share with you is that clearly, Spain again reached 6.8% in 2025, that this is 54 basis point expansion. That was driven basically by this strong operational leverage and rigorous cost discipline, as was already presented by Guillaume. Outlook for '26, our focus is clearly on accelerating our organic growth. We expect, based on that, a fixed cost dilution and rigorous cost management to offset wage and transport inflation, again, enabling us a further improvement in margins this year. However, this -- there will be a more, let's say, normalized pace compared to the extraordinary jump seen in 2025. Perhaps for the CapEx, I can give to Guillaume.
Guillaume Gras: Thank you, Martin. First, to remind, in 2025, Dia Spain net CapEx totaled EUR 161 million, in line with the guidance provided and 60% above the EUR 99 million invested last year in 2024. So the year-on-year increase is mainly related to our store expansion plan. Looking ahead to 2026, we expect to double our rollout speed with more than 100 net store openings. Consequently, we should expect around EUR 50 million higher CapEx than in 2025, pointing to over EUR 210 million. Remember that this CapEx is fully financed by our operating cash flow. This enables us to maintain low financial leverage throughout our strategic plan.
Alberto Valdes: Thank you very much, Martin and Guillaume. The next question comes from Luis Colaco at JB Capital.
Luis Colaco: I have 4 questions on my side. The first one would be regarding the breakdown in terms of sales growth for 2026. We saw an exit rate of like-for-like of circa 7.7%. You guided before -- last year for 2% to 3% like-for-like. And we are seeing the inflation in Spain still in the food sector already at 3%. Do you think that this guidance that you provided last year between 2% and 3% isn't conservative at this stage? Second question would be on the expansion of stores that you project. You said that you expect 100 net new stores for 2026. You opened 54 already in 2025. So I wanted to understand if the 300 net new stores that you projected from 2025 to 2029, also, does it look conservative at this stage? And I assume that the 300 is net new stores. That wasn't clear for me, in the past. And the third question would be on the debt. You've been deleveraging in a very fast way. We know that you refinanced your debt in 2024 at a very high rate. Bearing in mind your current net debt-to-EBITDA, do you think that you will be able to refinance your debt at the end of this year? And what type -- if this is -- if you agree with me, do you think that -- can you provide us some color on what type of spread should we be assuming for debt refinancing? And the fourth question would be also on the market in general in Spain. We've been seeing the nominal food retail sales growing -- accelerating the growth. What do you attribute this to, immigration, higher purchasing power from consumers? If you could give us some color would be great.
Alberto Valdes: All right. Very clear questions. Thank you very much, Luis. I think the first pool of questions regarding the sales growth in Spain, also our store expansion and the macroenvironment, could be very good questions for Martin and the one regarding our financials is more suitable for Guillaume. Martin, are you ready?
Martin Tolcachir: Thank you, Luis, for your questions. What we are seeing in -- for Spain in terms of growth -- the drivers of growth, we expect now inflation position between, say, 1% to 2% this year. We still have some pressure, especially in fresh product. But then we have also a mix effect that will offset partially this pressure, so again, between 1% to 2%. In volume like-for-like, what we expect, or what we are expecting is a consistent growth between 3% and 4%, which is a robust growth in this market. And in terms of expansion, what we are assuming now is a contribution of around 3% coming from this plan. In terms of our acceleration in expansion, but more broadly, the acceleration that we are seeing in the execution of our plan in 2025 and our solid prospect for 2026, we really think that while we are delivering ahead of the schedule and accelerating in general, it may be premature to review our strategic targets only 1 year after its launch. However, given, again, this positive trends, I wouldn't rule out revising our targets plan next year, let's say, in 2027. Concretely, concerning the opening stores, you can assume that, yes, the 300 additional stores openings are net -- in the framework of our plan. Then some comments on the macroenvironment, as you pointed. We expect in Spain a solid growth in terms of GDP. 2025 was at 2.8%, which is a real strong performance, especially when we compare with the rest of biggest economy in Europe, Germany, France. So really, really strong support of this growth. We consider as we see in the -- all the available information that 2026 will remain a strong year for Spain. We project this growth around 2.4%, again, driven by a strong domestic demand and all the external sector. In terms of inflation, 2025 was already a year of the moderation, and we expect 2026 with a number of around 2% in terms of inflation. We really are -- appreciate seeing a clear improvement of the disposable income from household, which is really important for our business. Last year was already a positive year and all the information we are gathering confirm that 2026, again will be a positive year in terms of recovery of this real disposable income, which, again, it's key for our business. So last element that we can share is that in terms of population and tourists, we are still seeing solid numbers that will sustain this trend looking forward.
Guillaume Gras: And regarding the refinancing, today -- the lockup period of the current financing expires at year-end, paving the way for a potential refinancing from 2027 onwards. As this time approaches, we intend to leverage our strengthened credit profile, reduced leverage and proven operating track record to optimize our cost of debt. And this should reduce financing costs and unlock our current capital allocation constraint, providing us with greater flexibility to remunerate our shareholders. How much do we expect? It's too early to say, but we expect a relevant reduction cost of debt.
Luis Colaco: Just a follow-up question on what you said. You mentioned before the like-for-like between 1% and 2% in terms of prices, if I'm not wrong, 3% to 4% in terms of volumes. But that already surpasses the 4% to 6% total sales growth that you guided for. Is that correct?
Martin Tolcachir: With the prospect we are having today for 2026, clearly, we expect to outperform our range, the range of growth that we give as guidance in 2026, clearly.
Alberto Valdes: Yes, that is very clear. Thank you, Martin. The next question comes from Jose from CaixaBank.
José Rito: So I have 3 questions. The first one is on net debt evolution at the consolidated level in 2026. If -- based on the fact that you should expect to accelerate store openings and also CapEx, if you expect to reduce net debt by 2026 versus 2025? That will be the first question. The second question related with the tax credit. So the activation of the tax losses were carried forward, I think that you had around EUR 1 billion in the balance sheet at least last year. There was some activation this year. Can we assume that the company will activate a similar amount in 2026? And how should we assume the phasing of this? If you can provide a little bit more details on this, I think it will be helpful. And finally, the third question on the working capital evolution in Spain. There were slight cash outflows in 2025, reason for this? And also how do you expect this to evolve in 2026?
Alberto Valdes: All right. Thank you, Jose. If I understood you well, you're asking about our net debt prospects for the coming years and if we are going to be reducing our net debt position again in 2026. That is a good question for Guillaume. You also ask about our income tax in 2025 in the second half, which was significant. If you can give Guillaume a little bit more color on that and also on our prospects? And finally, I think you ask about the working capital change in Spain in 2025 and also your views, Guillaume, regarding next year, 2026. So when you're ready.
Guillaume Gras: Thank you, Alberto. Regarding net debt projection for this year, as we increase our CapEx, we expect to maintain our current net debt. So that's the first point. Second, regarding income tax, in light of our positive performance and strong future profit expectations, we had EUR 52 million out of a total deferred tax asset balance of EUR 217 million, that was activated in the second half of the year. This, together with the one-off reversal of a fiscal provision totaling EUR 9 million registered in the first half, this more than offset the corresponding annual corporate tax resulting in positive tax income of EUR 47 million in 2025. So regarding 2026, Dia Spain still has deferred tax assets totaling EUR 165 million pending activation, which will not expire. We plan to activate these assets progressively over the coming years, which will result in an effective tax rate below 20% in the medium to long-term. Regarding the working capital change in Spain, the outflow you mentioned of EUR 10 million, if I'm not mistaken, is linked to a calendar effect here in our supplier payments. So it's just something punctual. Looking ahead to 2026, we expect a positive working capital inflow driven by our projected sales growth and expansion plan.
Alberto Valdes: Thank you, Jose, for your questions. We've got another one coming from Pablo Fernandez from Renta 4.
Pablo Fernandez: Congrats on these solid numbers. Just 3 on my side. The first one is just a follow-up on growth and margins, in this case about Argentina. Could you provide some color about the [indiscernible] picture and maybe offer some guidance on your expectations about sales and margin expansion in '26? And the second one, do you keep considering the business in this contract as a strategic or maybe this first green shot could be a good opportunity to divest in the country? And the final one is regarding the EUR 10 million of assets held for sale in your balance sheet. Maybe you could provide some color about it?
Alberto Valdes: Thank you, Pablo, who is now shifting to Argentina. He's asking about how we see the macroenvironment and our prospects for 2026? Also, if we consider this as a strategic business or we could consider its divestment? And finally, a question regarding assets held for sale, that is more suitable for Guillaume. So Martin, the floor is yours when you're ready.
Martin Tolcachir: Thank you, Pablo, for your question. On Argentina, in terms of GDP, following the sharp contraction in 2024, GDP is estimated to have a recovery of, let's say, 4% in 2025, driven mainly by a rebound in the agriculture sector and the gradual recovery of the energy and the mining sector. The economic forecast suggests this recovery will continue in '26 with the GDP growth expected to remain between 3% to 5%, but with an increased contribution from private investment and consumption in addition to the primary sector. In terms of inflation, as you know, inflation has significantly decelerated from the inflationary peak of '23 and '24 to a single-digit monthly rates at the end of last year. In this context, the real disposable income began to recover in '25 amid rising wages and more moderate inflation. Still, it remains at a very low level and following 20% cut in 2024 due to measure implemented to eliminate the fiscal deficit. So looking ahead, what we expect -- the consolidation of Argentina's macroeconomic framework and relative price stability are expected to enable the sustained normalization of household disposable income and the gradual recovery of food consumption from this year onward. As you know, we have a strong position in Argentina. We have a leading position in Buenos Aires. We have a strong brand, a loved brand in the country and a brand that is perceived as the -- more competitive in terms of prices and the leader also in terms of own brand quality and loyalty program. We have an operational and supply chain solution that is really competitive in that market, and that means a real value for us. We have a value proposition that also combines this own brand, fresh products and national brands that differentiate our value proposition from the other players. In this context, the -- we consider that the consumption is now bottoming, and we expect a gradual recovery from this year onward. So in this context, again, we are not considering the sale of the Argentina at the moment. Selling the business now will fail to capture the value we really think this operation have and this strong position that we have in the country and more particularly in our leadership in Buenos Aires. And again, all the potential recovery that we are foreseeing based on the healthy and the strengthening of our value proposition. What we expect in terms of sales growth is, again, this gradual recovery during 2026, although the sequential quarterly trend should continue to improve. The positive year-on-year comparison will be more evident, especially as the year progress. Last question on also margins for Argentina. As you know, we have put in place decisive cost control and financial discipline that allows us to get to a positive adjusted EBITDA in the year. The second half of the year we have been already capturing the benefits of all that strategic decisions. And again, the full year, we finally closed a positive 0.3% of adjusted EBITDA margin. This year will be a year where we are capturing -- we are going to capture fully all this -- the benefits of all that decision, and we expect to improve our adjusted EBITDA margins in Argentina.
Guillaume Gras: And regarding the question about assets held for sale, the EUR 10 million you are seeing, corresponds to real estate assets belonging to Dia Argentina. We talk about one warehouse and 14 stores. These assets are up for sale in 2026 with the aim of reinforcing the company's net cash position. As you know, and just to remind, Dia Argentina had a net cash position of EUR 61 million at the end of the year. This, together with our rigorous financial discipline and the monetization of real estate, will ensure that the business remains self-funded and ready to capitalize on Argentina's expected economic recovery.
Alberto Valdes: Very clear, Guillaume. Thank you, and Martin. We have a final question from Marisa Mazo from GVC Gaesco.
Marisa Luisa Mazo Fajardo: Alberto, congratulations for the results. I have 3 questions. The first one is in logistics. Can you remind us how may be impacting costs when you continue opening your new warehouses? And how much is the annual investment? The second issue is on the financial debt and the repayment. If I'm not wrong, you have to pay penalty on the -- if you repay the debt from year 2027 onwards. And also, you're still accounting for the opening fee. How we -- may we think about which will be the trade-off between renegotiating the debt and all the other impacts it has?
Alberto Valdes: All right. Marisa, thank you for your questions. If I understood you well, you're asking about your logistic optimization plan, specifically how much we think it could contribute to improve our adjusted EBITDA margin by 2029 and how much we are -- we expect to invest in each of these platforms and throughout the plan. That is a good question from -- for Guillaume. And you also asked about our -- if I understand you well, the potential refinancing of our debt as from 2027 and how much it could contribute to reduce our financial costs, both questions for Guillaume. The floor is yours when you're ready.
Guillaume Gras: Yes, Alberto. Regarding logistics, the gain we expect from this optimization plan by the end of 2029 is 30 bps and requires yearly investment by 20 -- sorry, EUR 10 million to EUR 15 million per year. Regarding debt, as I said, we have a strong penalty until the end of 2026 if we repay now the -- our current debt. So that's the reason why we are waiting for 2027. And today, it's too early to know how much we can save, but we believe that it will be a relevant saving.
Alberto Valdes: All right. There are no more questions from our analysts over the phone. Let's now review the written questions received from our shareholders who are following us through the webcast. Some of them have already been answered. Fernando was asking about our plans regarding the business in Argentina and a potential divestment. I think that has already been addressed very clearly by Martin. Then Luis and Jose are asking about the share price potential and also about potential M&A in Spain. I think the first one could be a good question for Guillaume and the one regarding M&A, maybe for Martin. So if you're ready, we can answer these ones.
Guillaume Gras: So regarding the share price potential, it's -- of course, we cannot provide any guidance regarding our share price. We know that our stock price has made an extraordinary recovery last year, validating our successful business transformation. However, we see that we are still trading at a significant discount to our European peers on 2026 consensus numbers. According to the latest analyst consensus average, target price is EUR 46 per share. So there is still a significant upside potential. This fundamental upside is based on, let's say, 5 points: one, our unique business model which gives us strong competitive advantages. Our strong -- two, our strong organic growth that significantly outperformed the market; three, the profitability that is above the average of the sector; and also our strong cash flow generation and low leverage profile. That's the main element for the share price potential.
Martin Tolcachir: Thank you for this question on M&A. And I would like to start by first saying that our focus and our full priority is to deliver on our strategic plan, the plan that we have shared with you last year and that we are executing rigorously, and any other consideration has to be considered, again, with no possibility to distract us from the execution and delivery of this plan. And this plan is based on customer experience improvement, like-for-like growth and our organic expansion. However, our robust financial position enable us to evaluate potential M&A opportunities within Spain. Spain is still a fragmented market. And we consider that they can be with opportunities that could create additional value for our shareholders and our responsibility is to analyze and consider these options. In any case, not that we -- again, we only consider these opportunities as supplementary to our core organic growth road map, and we will not allow anything to distract us from it. Also important to share with you that we already defined clear criteria for evaluating any M&A opportunity in Spain to ensure that any potential transaction will really create long-term value for our shareholders. In that regard, we only consider assets that are profitable and generate cash flow that are complement to our business model and national footprint, that create clear opportunities of quantifiable synergies, have limited integration cost and offer a real attractive returns. In any case, any event of this nature materialize -- if in any case an event of this nature materialize, we will disclose it to the market swiftly in accordance with the applicable regulations.
Alberto Valdes: That is super clear, Martin. Thank you very much. We have another question from [ Alvira ] and Jose. They are both asking for potential dividends or shareholder remuneration in the context, again, of a potential refinancing as from 2027? That maybe is a good question for you, Guillaume.
Guillaume Gras: Yes, Alberto. So as you know, dividend payments are not permitted under the current refinancing agreement, but this is not definitive. Delivering -- we think delivering our strategic plan and fulfilling our financial commitments will give us the flexibility to reconsider our capital allocation priorities in due course. And of course, an early refinancing of our current debt facilities from 2027 onwards could remove our current capital allocation constraints.
Alberto Valdes: Thank you, Guillaume. The last question comes from Mohanty. He is asking about our store closures in Spain and our prospects? Maybe Martin, if you can answer this last one?
Martin Tolcachir: Sure. No problem. You have seen that in 2025, Dia Spain closed 38 stores. This is twice the natural rhythm of annual turnover, as we didn't close any store in 2024 that will be incompatible with the redundancy program that was in place. Looking ahead to the coming years, what you should expect is a natural turnover of around 15 to 20 stores per year. And these closures are mainly based on the change to the rental conditions, store relocations or the closure of underperforming stores. But we will come back to this historical average rhythm -- natural rhythm, I would say, of around 20 stores per year.
Alberto Valdes: Super clear. And there are no more questions from the webcast. Thank you very much, Martin and Guillaume. If you require further clarifications, please contact us, the Investor Relations department. And you will find the contact details on this presentation or on our web page. Thank you very much, again, for your attention and look forward to connecting with you at our first half results presentation. Have a nice day.